Richard Whiteing: Thanks Cecelia, hello everyone thank you for joining this presentation at the year-to-date 2018 results. Today’s presentation and the other results documents are available on the investor section of the ses.com website as usual, if you don't already have them. And as always for me, please note the disclaimer at the back. The agenda for this morning is outlined on Slide 1, in a moment Steve Collar, President and CEO, will present the main business highlights before handling to Ferd Kayser and JP Hemingway, CEOs of SES Video and SES Networks will cover the main developments in their respective businesses. After that Andrew Browne, CFO will them cover the financial results in more detail. Of course after the presentation there will be an opportunity to answer questions. So with that I would like to hand over to Steve.
Steve Collar: Thank you, Richard. Good morning everyone and thanks for joining us this morning, wherever you are. I’m going to crack on with the highlights and then as Richard said hand over to Ferd and JP and then to Andrew to speak about the numbers. So the summary, we delivered another good quarter and a solid nine month year-to-date performance which is pleasing. Revenues of 1.469 billion reflect underlying growth of $0.021 year-to-date and that’s up for 1.5% that we presented at the half year. So our growth is developing nicely. And that raising fuel by continued acceleration at SES network where for the first time in a number of years maybe first time forever all three of our networks verticals are contributing positively to our growth and obviously that means the big data is now contributing positively on an underlying basis which is very pleasing. 13.6% underlying growth at networks and almost 20% in the quarter really underscores the success of having in the network verticals and so good to note that we had probably one of our best quarters in terms of new business in sales, or deals signed. So a good view also to the future and the sustainability at the double-digit growth that we’re producing which is very good. And I’m also really happy with the deals we signed but tighter deals, tighter customers that we brought on and also couple of partnerships that we signed during the quarter, so that I will speak well for the future and with four more O3b satellites coming early next year and SES 17 and O3b mPOWER obviously waiting on the wings down the road, future is looking good I would say from the network standpoint. On the video side we’re growing year-to-date by $0.028 that’s a largely consistent with where we were at the half year. We showed a good contribution this quarter from our video Services businesses, particularly HD+, which is obviously a very important part of our German DTH neighborhood. The market for DTH and distribution, outside our core neighborhood continues to be challenging something that we talked about from the last couple of quarters, that the market is still very very competitive and that limits the pace at which we can execute on new business and that also presents challenges for our customers as they're looking to built platforms in the emerging markets and we certainly see that kind of reflecting into a drag on our business performance in the international market from the distributors point. We obviously continue to push hard and just for our customers and I’m bringing the full capability of SES to support them as they grow business. We delivered EBITDAR of 928 million good focus on controllable cost, good focus on CapEx control and we’re going to structure on that and our backlog remains a very healthy certain billion which is pretty consistent with where it's been over the last several years. We got 97% of our revenue for 2018 already contracted we're obviously pushing hard to close that year well. We're on track with group revenue to be in the top of the range which again is something that we said last quarter video is probably going to be at the lower end network is probably going to be at the higher end of their respective ranges, very happy with where we're tracking in terms of revenue for the year. And then last but not least good progress in the quarter with our C-Banded nations into the U.S. we brought together at the simple fact that to perform C-band alliance and that's now up and running we've brought in a very experienced leadership team to run the alliance really good guys very, very happy to have them on board and created some good positive momentum. We've been doing a lot of work to make sure that we have the right balance between sort of on the one hand fully protecting our current customers and neighborhoods and providing them with the security to flourish to continue to deliver services to the more than 100 million TV handset served by C-band today but also delivering sufficient spectrum to allow world class 5G environment to be both across the US which is clearly an ambition for the SEC. I said last quarter that we are working hard on that and we will be confirming in our comments to the MTRM early next week through the C-band alliance that we can commit to repurposing up to 200 megahertz which is an important step forward and obviously meaningfully more spectrum than we have talked about previously and that's really on the back of a lot of hard work to figure out how we make sure we protect our neighborhoods and yet free up our additional spectrum. Still lot to do as I've said delivering this sort of landmark win-win really requires that we should have maintained all interest staying aligned all the way through this process the SEC continues to show incredibly strong leadership in this area and I'm increasingly persuaded that our market based solution is the right way to go and the only way to really deliver that win-win for all parties and I'm very pleased with the progress we have made in the quarter. So the effects all this slide will be for many of you, it hasn’t changed in terms of numbers from what we showed you in July so this is really nice slide it shows the development of the business as I expected to be over the next couple years. In that period we will deliver growth and our business mix would evolve with our networks business growing to represent 40% of our business from a third 2017 and if we fast forward a couple of years beyond this if I wouldn't be surprised if we were more in a sort of a 50-50 between networks and video which is a picture I really like two very, very complementary businesses on the video side the strongest video neighborhoods in the world, great customers, very profitable, great visibility of future cash flows and on the other side we have this dynamic fast growing networks business double-digit growth, forging new markets really developing into what is cloud enabled future and I think we are the only business, we are the only company that has that optic and looks that ways it's a real strength I think for SES and something that I'm very happy about. So then lastly on Page 5 again a reminder of what you could expect from us in the future in video is really about reinforcing our strong there is the value from our core neighborhoods, working with our customers to deliver them that service so that's network but if we can leverage in our full capability which is increasingly including our video services capabilities and delivering a very best experience we can to the viewer and we intend to run that business incredibly well as you could appreciate creating efficiencies where it makes sense to do so and driving value below the revenue lines. But networks is really about keeping doing what we are doing in and to draw the unique infrastructure that we put in place to enable our customers and really deliver the growth into the SES business. We have got great momentum right now, lots more to come. And we are signed an important partnership agreement with IBM, JP is going to talk about that shortly but for me that really shows the way to our future as we look to make satellite more and more mainstream and in a world that’s increasingly driven by technologies like cloud, like industrial internet of things, like 5G. And I really believe we have a big role to play there provided that we understand those environments really integrate our capability into those platforms and into those technologies. So lots to come, [indiscernible] I'll hand to Ferd to go into a little bit more detail on what's happening in video.
Ferdinand Kayser: Thank you, Steve. And starting with the highlights for as SES video on the Slide 6. SES video generated €977.4 million of revenue in the nine months of 2018 with underlying revenue down as mentioned by Steve 2.8%. We have seen another quarter in which the built on number of TV channel has increased and we have now broken through the 8000 total TV channels. This represents the growth of 277 additional channels or 4% compared with the end of September 2017 figures. The acceleration of high definition and ultra high definition across Europe, North America, and some of the international market continues to be a key driver as growth castles and content owners look to satellite for delivery in the highest point the viewer experience for their most important content. Of course we will continue to focus on execution and I'm pleased to report 96% of our 2018 expected total revenue is already contractually committed about half of the 4% missing is revenue coming from our consumer business HD Plus which by definition is unsecured but highly predictable. This progress comes from the important renewals and new business which the video teams have executed in the recent months with some examples outlined on Slide 7. Channel 4 and QVC our recent renewals we secured in the UK and Ireland where we serve 20 million TV households demonstrating the long-term commitment to our strongest neighborhoods. For QVC in Germany a contract which was also renewed and [indiscernible] also providing range of sell out ground services this to improve that operational efficiency. This is good example of true partnerships between us and our customer as we looking provide additional capabilities which helps them to either grow their business or save cost. On the service side, through the corporation with smart mobile apps we continue to enrich our offering to enable our customers to add more value to their live events in particular in sports, this means that we now offer augmented HD and Wi-Fi hotspot capabilities collecting pictures from various sources during live events and giving the audience new ways to enjoy replays or additional camera angles straight on any connected devices. So next three examples illustrate how we can leverage opportunities we see in the emerging markets. First in Nigeria where we we recently launched a full managed end to end straight to air [indiscernible] of 13 high value channels with our partner Africa its space. Here we are providing also the player of ad insertion and coding and uplink services. Then in the Caribbean our partner KB Soft built on its growing new viewership to increase the total number of channels of its DTH platform from 130 to 190 channels and to offer new target of TV packages and continues of course to expand the reach. This development is impressive considering that we launched the platform earlier this year thanks to our new satellite and the US panel. We continue to enrich our Latin American neighborhood with in flight TV in ultra High Definition, this is being carried on our recently launched SES-14 satellite and we are looking to promote adoption of ultra HD in the region complementing the very strong development we’ve seen in other mature markets. So, now moving to the video segment in more detail starting with distribution on Slide eight. Underlying revenue was 4.7% lower than the previous year, the European business continues to benefit from important long-term renewals notably in the UK and in Germany, Q3 2018 was impacted by the exploration of certain capacity contract signed on the long-term basis contributing to the overall revenue being slightly lower in the quarter. At the pipe for ultra HD is continuing to grow and remains an important contributor to the future development at the largest and valued video neighbors. We saw the volume reduction in North America as growth capital reduced the number of HD channels having being cast already in HD and as mentioned by Steve, we saw popular platforms in the emerging markets not getting the sort of commercial traction, we would have liked which resulted in lower than expected revenues. We are pursuing currently some solidly on SES 9 and SES 7 and we need that we can return this part of the business to modest growth in the future. Finally on Slide nine, digital services grew by 3.4% year-on- year the price increase of HD Plus annual fee which we introduced at the beginning of the Q2 last year was again the main driver. Meanwhile, H1 continues to show stability. In particular DM expands 360 Solution is continuing to generate commercial tractions as it look to deliver a full range of value added technical services to create value for our customers and in doing so we enforce our core video neighborhoods. And with that I hand over to JP. 
JP Hemingway: Thank you, Ferd and good morning all. So starting with the highlights for SEC Networks on Slide 12. It’s been another strong performance of the Networks team with underlying revenue of 13.6% year-on-year primarily driven by the mobility and government segments. The third quarter has been the strongest to date with year-on-year growth of 19.6% and one of our largest sales bookings quarters giving great visibility for Q4 and beyond. We have now secured more than 97% of our 2018 expected revenues. As Steve already mentioned what’s really encouraging is that all three verticals including fixed data are now growing. In government, we are continuing to expand the number of sites and customers served with our unique offering of – MEO O3B managed services not just for the previously announced US government deals but with significant growth with our global government team serving missions predominantly across Africa. We’ve signed our first partnership with cloud connectivity with IBM and application space we see becoming much more significant as part of our business going forward. We've also made further progress in mobility with important follow-up agreements and new customer wins in aero and in maritime. Notably, we've had our first commercial Aero service on our KA band network in addition to growth in addition to growth on our SES 10 and SES 15 KU networks. So moving on to the next slide for some specific examples starting with the partnership we signed with IBM. This a really strong endorsement one of the top talent providers that are high performance satellite connectivity solutions provide significant market expansion opportunities for cloud applications by our unique global reach. This will enables SES IBM and indeed our global partner base to securely provide cloud solutions to storage, compute, artificial intelligence and IIT applications into all of our market segments. I'm truly convince we have a great potential in this segment and that we are uniquely positioned and thanks to our low latency advantage our cloud integration strategy that follows on from previous announcements around MEF compliance. Next on the Millicom Tigo deal another good example of how our unique multi orbit GM MEO connectivity can provide an optimize architecture for our Telco customers, adding to our existing MEO services. We are adding a hybrid MEO/GEO services we are adding a hybrid MEO/GEO international voice service and a fully managed end to end cellular back haul for more than 52 2G and 3G sites across chat in Africa. Moving on to DataCo in PNG, Papua New Guinea, which is a great demonstration of MEO flexibility performance and resiliency. We have been deployed for the Asia Pacific economic corporation or APAC summit to operate a fully managed 6 gigabyte broadband access service to augment the countries existing network including both security and content caching applications. Marlink and Navarino are two good examples of our partners strategy where we work with value added partners for enterprise and commercial shipping solutions. Marlink have expanded their relationship with us and that will now be using both GEO and MEO connectivity solutions to serve the enterprise customers while some Navarino leverages our global manage mobility platform to serves some of the top global shipping operation. The last example on this slide relates to our SES government solutions division and a great example of our growth in this area and addition to the strong MEO adoption is expansion and renewal of our GEO solutions. In this case, we will provide expanded KU bandwidth to the air combat command training and testing operations in continental US. So summarizing that government segment on Slide 14. We delivered another strong quarter and being up 21% compared to the first nine months of 2017 with really encouraging performances in both the US and our global government teams. The US government has continued its adoption of MEO as already mentioned on our global government customers have grown from 10 to 17 MEO sites over the first three quarters of 2018. In addition we are growing our contribution for the GUPSAT-1 one platform when the team has just concluded a contract with Telaspatio to serve the French military of defense. Moving onto fixed data on Slide 16, underlying year-to-date revenue was down 3.3% year-on-year however while as the market conditions remains challenging particularly in Europe and Africa I'm pleased to say that the business has delivered year-on-year growth of 1.7% in relation to the third quarter. As you are coming from deployment to expansion of managed service contracts especially across the Americas and Asia. Our growth strategy remains around both focused based relationship with tier 1 operators bringing satellite into mainstream by delivering a terrestrial equivalent service in places that will allow our customers to seamlessly expand their network coverage and deliver 3G 4G and cloud services. And lastly moving on to Slide 16 where we saw a really strong trajectory and underlying revenue was up 32.6% year-over-year for mobility. Aero was a very significant driver with accelerated contribution to plan from our Aero service providers specifically around the SES 15 satellites. However this was complemented by stable year-to-date developments in maritime which benefited from growth and recurring delivering Q3 2018 on the back of new revenue signs with existing and used crews and new crews vessels. And with that I'll hand over to Andrew.
Andrew Browne: Thanks very much JP. Good morning ladies and gentlemen. So turning to the financial overview I'll start with Page 18. As Steve already mentioned our year-to-date numbers are in line with our expectations revenue for the nine months was [indiscernible] with underlying revenue showing the positive development of 2.1% compared to the prior period. On a reported basis revenue was 3.8% lower due to the change in FX. Accounts with FX total revenue was 0.4% higher with the growth of underlying business we marked by the reduction resulting from the unusually higher amount of [indiscernible] that were recorded in the same period of last year. EBITDA of €927.7 million represented an EBITDA margins 63.1% including the €9.7 million restructuring charge excluding this margin was 63.8%. EBITDA was 6.7% lower as reported and 2.9% at constant FX as normal operating expenses were higher and mainly due to the additional const primarily associated with the expansion of our networks business and the restructuring charge as I just referred to. Turning to operating profit we changed an FX to lower EBITDA also less reduction in operating profit which was €4.53 million in the nine months. This represents an operating profit margin of 27.5% which compared to 29.4% of last year. Net profit of 3 million to 3.7 million compared with €394.5 million in the prior period both periods include the term tax benefits which I refer to a little bit later on. The group's net debt to EBITDA ratio was 3.43 times compared to 3.53 times three months ago and 3.27 at the end of 2017. And year-to-date on the cash side if we see a 29.2% increase in free cash flow before financing activity and that’s for the €593 million for the year-to-date and over 85% of this year's expected CapEx is interest has already been paid along with the dividend in the first half which means we fully expect the leverage to 3.3 million or below at the end of 2018. We have also updated our CapEx outlook for 2018 with 80 million lower this year which shifting into 2019 and 2020 accordingly overall total CapEx is maintained. And finally as Steve as already said we are on track to deliver the 2018 revenue and EBITDA with revenue within the top half of the range. So turning quickly now to remaining pages and starting with revenue on Page 19 with the change in FX as you can see accounted for €64 million that was a total movement on a reported basis. Accounted FX the higher periodic total revenue were offset by the contribution all the line of business which grew by €29.2 million and indeed 2.1%. Turning to EBITDA on Page 20, EBITDA was 6.7% lower as recorded and 2.9% lower adjusting for the change in FX. The main driver of the increase of underlying expenses and that mentioned a bit earlier the decision we made to invest in our growing networks business. And of course nine months as mentioned we post 9.7 billion on the restructuring charge including 1.3 billion in the third quarter, the quarterly the market was 63.4% and including this charge is 3.8%. So turning now to page 21, where we see net profit of €303.7 million reported depreciation, impairment and amortization reduced by €22.8 million to [indiscernible] this was actually impact of the dollar and the impairment charge of 28.4 million expenses in the prior period. These items offset a decrease driven by the entry into service of new satellites software since the beginning of the year and as mentioned in our last call, the recognition of deferred tax assets from bringing into services of GovSAT-1 and indeed the transfer of O3B from Jersey to Luxembourg were the key drivers for the positive tax income of 37.3 million and normalized expected tax rate was 25.6% for the nine months which compared to 27.3% reported in the half year. Looking at the leverage on Page 22 that we are currently driving 3.43 at the end of September and is down from 3.5 to 3 times at the end of June. And also as referred this is helped by the free cash flow before financing activities which is up 29.2% and as I mentioned the 85% of expected CapEx of interest we've already paid. So, accordingly we fully expect our leverage to be 3.3 times at the end of the year. CapEx is now expected to be 380 million for the year, 82 million and with the slight shift of 10 million into 2019 and balances into 2020 consequently the overall amount of planned investment in the business remains unchanged. And lastly turning to page 24, the financial outlook. I think as Steve has gone through and I have mentioned already we are on track to deliver our guidance outlook and as mentioned we expect 2018 revenue to come in within the top half of the range and we’re also on track for our group EBITDA as outlined. So with that I will conclude and hand back to Richard. 
Richard Whiteing: Thanks, Andrew. Operator, over to questions.
Operator: [Operator Instructions] We’ll now take our first question from Aleksander Peterc with Societe Generale. Please go ahead. 
Aleksander Peterc: Yes. Good morning, this is Aleks, thanks for taking my question. I just have two, one is the changes in CapEx, could you tell us exactly what projects have moved particularly been moved to 2020, what has been shifted there. And then secondly, obviously great work on networks, commendable because we see that. However, in video the challenges seem to have worsened a little bit in the third quarter and now at minus 6% on the underlying and I thought we were going to stabilize at minus 4% as we saw in Q1 and Q2. So, can you maybe explain to as bad as it gets for video now and things that going to improve a little bit stabilizing in more manageable decline. Or could they work that comes from this level. Thank you. 
Steve Collar: I would take the first question CapEx, essentially what we’ve done has been announced on committed CapEx. So, we’re not going to spend that and indeed that's what the big shift will fall through. And just overall I think in control of our CapEx and cash management and something we are very focused on in terms of execution so these were amounts of monies that we just didn't see the way to pay so we'll just shift it. 
Andrew Browne: And I'll take the question I think what we've seen is largely consistent with what we expected it's largely consistent with what we saw in the half year minus 2.8% on an underlying basis and we have some short-term business during this quarter that rolled off and which is sort of not forward-looking that's not the stuff that kind of rolls on through the business but overall I think our video performance has been solid in the quarter and obviously up against the networks businesses delivering 20% growth in the quarter there's a comparison to be made there but that's exactly why we like having this mix. 
Aleksander Peterc: So just to understand the short-term business that is rolling off is that going to not wait for the full-year going forward or how short with short-term we've enrolled…
Ferdinand Kayser: So we don't expect to see big and ongoing impacts from that I just sort of explained a little bit of additional sort of net geo growth or what have you from the video business during the quarter but we don’t expect that to be continuing through, the challenges in video really remain ones that we talk about which is the international markets are tougher than they have been previously and perhaps than what we expected. We see the ongoing sort of lower channel times in the US and that's something that has again been a feature of our business for a little while now, and the strength continues to be really our core neighborhoods and what we are doing in Europe and that's being kind of underscored by some really nice services business and services revenue that we are generating. So the picture of video really has not changed meaningfully from when we have spoke in Q2. 
Operator: We will now take our next questions from Sami Kassab from Exane. Please go ahead.
Sami Kassab: The situation with international video remains somewhat confused to me and could you help me understand what is driving the decline are we talking about lower capacity usage in the context of simulcasting being switched off, are we talking about DTH platforms moving from one provider to another satellite operator are we talking about renewals on lower price points can you be perhaps a bit more specific as to what you call challenging markets and how that manifest itself. And secondly you have four satellites currently at Astra 19.2 east and they are due to reach their end of their design life quite soon in the early part of the coming decade. Can you discuss your re-placement strategy for 19.2 east we have heard Utelsat talk about reducing the number of satellite at 13 east from three to two, can we expect SES to reduce the number of satellite at 19 east from 4 to 2 as well and what type of work improvement would that represent for the video neighborhood there. And lastly if I may in fixed data historically a weaker part of SES you did report a strong improvement ahead of consensus however with EMEA the situations is different so can you help me understand why is the situation different in Europe why is O3B not getting the traction that it's getting in the Americas and Asia and elsewhere, or is the situation just reflecting the fact that your regular capacity revenues in Europe were just higher than they were elsewhere, hence, the offsetting factor is not yet there? So any explanation on EMEA Fixed Data, why is it still in decline please. Thank you very much.
JP Hemingway: So I'll take the one international market. So first of all in the international markets the number of new platforms coming into the market and delivering to launch the data platforms is much more limited in terms of number compared to the past. And then when it is about your platforms coming to the market there is very rough competition in particular in regions like Asia between the various satellite operators. On the other hand the international markets also of course driven by additional growth we have expected with existing customers and we have to realize that for many of the existing customers new platforms operating in the markets that they have the difficulties to get traction in the market to generate substantial number of subscribers and some of them also we have had payment issues in particular in Africa.
Steve Collar: I think it's a mixture, as I see things it's a mixture of less growth much slower to sign new business and the new business that we have signed with the new platforms that we are supporting those platforms have grown more slowly and sort of had more challenges. And it just reflects by data and the top trading conditions and a very competitive environment that’s really what we are seeing. On the replacement stuff, I mean no we don’t have to focus too much on our replacements just yet, we don’t have too much CapEx associated with replacement in the plan in the very near future. As I think we have talked a little bit we are looking at a pretty creative way for us to procure future satellites across our entire fleet and we think that, that can generate some fairly significant synergies but it's too early in the piece to really talking about that. We will have more news on that in the future. And then your third question look I mean, so your question was really why aren't we seeing the same dynamic in Europe, Middle East and Africa as we are in the rest of the world? And the short answer is we are, it just that the roll off of legacy business or rather the repricing of legacy business probably had more of an impact in the Middle East and Africa so it's taking a little bit longer than that's being replaced. Mainly Africa I would say reflects just kind of coming back through that and then delivering the group growth on the new services that we are delivering. So there is no difference in terms of the market where we have as much traction in Africa with our -- not just our O3B services but our high grade MEO/GEO full turnkey end to end services is really underscored by the deal that JP talked about with Millicom but the impacts of what's going on in the market over the course of last two or three years is probably greater in Africa than anywhere else, so it just takes a little bit longer than for that roll off to come through.
Sami Kassab: Very clear, thank you gentlemen.
Operator: We will now take our next question from Nick Dempsey from Barclays. Please go ahead.
Nick Dempsey: I have got two left. First of all, on C-band, once you, the consortium, have cleared 200 megahertz or up to 200 megahertz do you think it would be possible to go back in few years time say and clear more capacity if its inline with that and everyone could agree on that. Or are we talking about the challenges to actually doing that being quite sizable. And the second question would you still be comfortable with your leverage target for the end of this year if you haven’t pushed some of the CapEx you’ve talked about out into 2019 and 2020?
Steve Collar: Good morning, Nick. I’ll take the first and so look at it has been a significant amount of work to get to this point, it really has, it taken us a good few months to get to a point where we can persuade ourselves that we can get to 200 megahertz working with Intelsat, working with the other guys and I would say as I see it right now the answer to the question is probably no. I don’t want to necessary speculate about what might happen in five years or 10 years or what have you because I honestly don’t know, but in terms of making sure that we can support our customers, making sure that we can support the very, very significant broadcast neighborhoods, 200 megahertz really is the upper limit. And so I don’t foresee honestly speaking having the possibility to clear more or repurpose anymore. 
Andrew Browne: And then the second question, it's not related, now that we have said that with the free cash flow for the year-to-date of 29% before investing activity and indeed part of that is lower CapEx. It's just that we have focused on execution where we’re spending additional amount of money that we kind of putting in is on continue. So now that the time is take it out, but its -. 
Nick Dempsey: Okay. Thanks guys.
Operator: We will now take our next question from Laurie Davison from Deutsche Bank. Please go ahead. 
Laurie Davison: Hi, guys. Just on SES 9 and SES 10, you’ve said solid leads, but that the international market is still challenging and especially on the video side. So, what level of revenues should we be or what contribution should we now be expecting for SES 9 and SES 10 this year, next year and 2020? Second question is just a follow up on Ferdinand's comment. Why do you think fewer international video satellite platforms are now launching. And the third question is, your main tier is guiding to return to growth in their video business this fiscal year. Your distribution revenues are down 5%, so how can they get to flat or are you skeptical they will actually produce that result. Thanks.
Ferdinand Kayser: So, regarding SES 9 and SES 10, Laurie we are working on various leads both in Asia for the F9 and in Latin America for the external cost. In Asia, it is about very often not only identifying the partner, the critical partner and who gets the license which is solid with almost about regulatory topics to be dealt with before we come to the agreement and start operations and then of course get traction in terms of revenues and in Latin America there are also opportunities as we have proven for instances the last one was with Kiwisat and there are other, but the incubation times are quite long because very often these are new operators in the market who do not necessarily have an video industry background if I may say so and third where we have to dedicate certain effort in order to make sure that these are customers which will be successful in the business. So this explains though the second question was about a fewer and the fewer markets so also in the emerging markets and here of course the situation is different on whether we look to Asia to Africa or to Latin America but by definition so that are still new operators coming up in many cases it is also linked to the analog switch off and here very often it is about regulatory topics to be dealt with it is about negotiating with the regulators in respective countries and this takes time which means that we don't align indeed is going to be a limited number of new players coming up. 
Steve Collar: Yes, and on the third question where obviously I'm going to get into a commentary on someone else's results will stick to ours and I think we just been more driven I think we are how we've said that when we look to the guidance through 2020 and I think we've just been a little bit more measured about what we see in the market and the market conditions that we see and it continues to be about some great strength in our core neighborhood challenging market conditions in the international distribution market. North America trending down through reducing channels but not dramatically so and video services which is our sort of the newer business in Video where we've got a combination of some really nice service revenue coming through and a bit of legacy stuff that we are churning off and that picture remains consistent for our business and we are on track to deliver what we said we deliver so nothing has really dramatically changed form when we talked to them about our business in Q1 and I think in Q2 I'll leave you to analyze our peers.
Laurie Davison: Okay, well it's more of a comeback of just I mean does that GAAP between a 5 to 10 distribution decline which is flat from your peer why is that I mean have you got a fundamental different geographic mix that you think explains that and so anything else going in, that's a huge gap?
Steve Collar: You can do the analysis in comparing Utelsat's business or anyone else's business finally we'll talk about ours and I think I kind of explained where it's coming from I think the underlying sort of high fours these impacted a little bit by some short-term stuff that we've seen the bulk of it really is our international markets where we've sort of explained some of the challenges of the new platforms as they start up and a better roll-off in North America that explains from our standpoint where it doesn't look exactly like Utelsat which may explain the difference but again I haven't spent a lot of time analyzing their business. 
Operator: We will now take our next question from Michael Bishop from Goldman Sachs. Your line is open. Please go ahead.
Michael Bishop: Just on video clearly as we only have a quarter left in the year you've been giving the metric of less than 5% of video revenues are not contracted. But I guess what's more relevant now is how much of video revenues in 2019 and 2020 are not contracted? And then secondly you made a comment previously about the O3b satellites maybe ramping up a little bit slower than say an SES-15. Could you just give us your updated thoughts on ramp up of O3b or the new O3b satellites? And then just finally given you are now guiding to the lower end of video and we are seeing worsening trends. Does that impact at all your confidence in EBITDA margin just given the downgrade in margins recently was driven by change in the revenue mix?
Steve Collar: Yes, thanks Michael I'll take those. Obviously we're not going to talk about 2019 we will do that in good time we sort of said 2018 is entirely in line with what we expect. To combine your third question I think we put a range of something like €15 million on our video business at the beginning of the year and 1.3 billion of revenue which I think is a pretty tight range. So we have talked about the bottom of that it really does underscore the fact that the business is performing exactly as we expected it to. So nothing that we are saying today any different from everything what we said up till May. On the O3b thing I don’t honestly know where that comes from, you'd have to kind of guide me through the comments so what I would say is 15 was exceptional and is exceptional in terms of the success we have with that satellite there is no question it has become a real anchor for North America Aero service providers which is exactly what we intended. So with the result that satellite has filled more quickly than within our plan and that explains why we are seeing such great growth from our Aero business. With O3b and our MEO sort of capability continues to be one of the major differentiators and I think what we see on 13.3.16 just the last launch was some very quick take up and quite honestly we are anxiously awaiting 17 through 20 which will arrive earlish I'm hoping in 2019 because we really need it. We really need the additional wings and the additional capability on the O3b consolidation. Did I miss anything Michael I was trying kind of answer all three of your questions.
Michael Bishop: No that’s exactly, I just think in the past you were just picking up on some comments the MEO take up might be slightly slower than GEO but it sounds like that’s not just the case then from your answer, but actually there is good demand already.
Steve Collar: No, and they are really becoming increasingly complementary to one another and a number of the services that we are delivering we are tying the two together in a pretty effective way and integrating it with a more intelligent grand network and that I think also points to the future in terms of how we see this things and why we don’t necessarily split our business out on an asset basis. Although I understand from your perspective that’s an important component what you look to do but for it's really looking at the vessels and develop those vessels with this vibrant infrastructure that we have and they all becoming increasingly complementary to one another.
Operator: We will now take our next question from Giles Thorne from Jefferies. Please go ahead.
Giles Thorne: I actually have four questions but one of those questions is a yes no so I don't feel too, like I'm being too naughty asking for, so the yes, no question to start with, it's a C-band question, a hypothetical question, does the CBA have sufficient KU band sources to move that entire book of C-band business out of the frequency. And then my other more operational focus question starting with the video, and it’s the international piece again and I wanted to play devil's advocate for a moment, because you open up 67 degrees west many years ago with, if I remember right a redeployment of the US satellite. And then you open up a 108 degrees east in 2009, so these aren’t new neighborhoods. So to hear that your experiencing some challenges now it sounds a bit like the Pay TV partners that you have in those neighborhoods after what was probably quite a promising start announced starting to sell and not invest in new content and HD operates. So my question is, have you backed the wrong horses in those markets and are you on core to see I suppose the neighborhood failure. And secondly CapEx, recent news flow suggest that you’re now at the RFP stage the fully software defined satellite that could serve either EMEA or GEO interchangeably. I appreciate you didn't want to guide on a reduction in ASTRA replacement cost, but it will be good to get a stare on any impact on the normalized group CapEx number that you previously put out. And then finally anything in the successful test between Global Eagle and TeleSat for LEO and mobility service gives you cause for concern given Global Eagle is relevant to you as a partner. Thank you. 
Steve Collar: So, I’ll answer the yes no with I’m not quite sure what you’re talking about. There is never been any suggestion that we would be able to move a C-Band video neighborhood in terms of 100 million of KU Band. Never on the radar, never part of consideration and so I would say kind not relevant rather than yes or no. On point two, sort of 67 and 108, look there have been specific questions about SES 9 and SES 10 and how they're ramping, that does not tie directly to the challenges that we have in sort of international video, they are on a global basis that includes Africa, it includes number of other locations where video platforms are just having a hard time growing in the emerging markets. I think as far as 67, 67 is a much less well penetrated and development neighborhood for us. As you say, been developing it for a while, but in terms of having a fully functional dedicated satellite that's a relative recent slot, 108 as you rightly say is actually not, we’ve got some very prime neighborhoods there including India. And it really does, this is a whole point around international video is for new platforms that are launching into the market now, customers are being much more prudent as to when they launch and how they launch and what kind of investment that they put behind in the launch of new platforms and those that have launched over the course of the last two or three years are generally speaking finding conditions tough and I wouldn’t say that points to the platform failure, we haven’t seen too many fail, but we have seen a couple that get into financial difficulties and struggle to sustain themselves and then we have a choice to make as we operate through to what we do. And we absolutely have seen those situations and we have seen that throughout our time it’s not that it's only just starting to happen now. But, that really explains our international video it's certainly not directly tied to SES 9 and SES 10. Andrew, you going to take the CapEx question?
Andrew Browne: Yeah. Well, as you know very well the ongoing news and we’re constantly looking to what our options are and it is premature at this stage I would think to comment anything about what takers we may see or anticipate so that in the future. So I think we'd be sticking to what we have today and we'll take the common course that we will let you know but right now we feel very good.
Steve Collar: And then on the Global Eagle contact management yes I saw that I think on the one hand I would say those people are doing what you would do if you are them which is kind of have a look at alternative technologies and try to figure out how relevant it is to your business and there are no LEO constellations up today and we can have a discussion about whether there ever will be and when they'll be up but I think that challenges for LEO remain we're very very happy with where we sit which is a 18 months already into the manufacture of our next generation constellation before anybody else launches their first. The TeleSat satellite there are two satellites up that's certainly doesn't constitute a constellation and so look we are and I would say where it leaves the customer are a very able customer to us, they are a big customer as all of our Aero service providers are and value the business it's growing very, very quickly for SES. So that is what I would say their job is. 
Giles Thorne: I just want you to come back to hypothetical feedback question because perhaps I didn’t articulate right but you have between the four of you an install base of satellites that uses the set of frequencies. You could replace those satellites you can replace those assets that use different frequencies and therefore protect being from the used case while freeing up the complete band that is a hypothetical scenario is that a realistic hypothetical scenario and so much it is feasible not about whether you want to do and whether you said you will do it and is it feasible that's just what I want to get an answer on?
Steve Collar: I would say practically no. 
Operator: We will now take our next question from Paul Sidney from Credit Suisse. Please go ahead.
Paul Sidney: Firstly on European video distribution and in particular the long-term renewals. I was just wondering what's the starting point of these European broadcasters heading into renewal is it just they come to the table and say that we want less capacity, less price both or is it a more proactive discussion you are looking sort of on-longer term basis. And then secondly I was very interested to hear your comment on the incremental adoption of MEO capacity in US governments. I was just wondering can you give us a bit more information on what departments of the US government are using that and what they are ultimately using it for in terms of the end users. Thank you.
Steve Collar: So on the renewals for European broadcast which is it's below the line when customers come to the table for renewal we expect the kind of post reduction and yes from the beginning of the discussions there might be some tension but given that we succeeded over the years in each of the European market to increase the technical reach in the markets in which we are active the renewal from the like for like across stages and at the end of the day this is also not so difficult to achieve because the customers all of them acknowledge that satellites as a distribution infrastructure is cheaper than any other ones the end user. And therefore over the line it's on a like for like basis. 
JP Hemingway: And look on the government so the largest so the acquirers of satellite services in the US government are CENTCOM, SOCOM and AFRICOM and those are predominantly the three that we're serving with our MEO capability, with our O3b capability and increasingly with a hybrid capability. And in terms of use, it's pretty straightforward the amount of data that exists on government networks now is enormous and moving that data about and delivering that data to places where it can be analyzed but also providing situational awareness on a global basis is becoming very, very important. And we have a unique capability in that we have steerable beams that can be pointed anywhere. And those steerable beams sort of boast low latency and high capacity. And those things are very important to government that uses a whole bunch of encryption techniques which don’t deal well with high latency environments and want a lot of flexibility on where that band width is deployed in the network. So its yes, it's becoming a very important part of our business.
Paul Sidney: Maybe just a quick follow up, we are seeing relatively strong government demand now for best part of nine months in terms of satellite capacity. Is that also a function of the lack of ability of the US government to provide the capacity themselves following budget cuts we saw many years ago. 
Steve Collar: Yes, I think it's more the latter, I think the government went through a period of sequestration and incredibly tight budget environment. And I think they probably over cut I think it was really aimed to deliver budget savings rather than obviously anything to do with capability. I think we just now seeing a more healthy environment where -- and I'm not even sure it's been nine months I would say probably six months at least as far as we have seen it but the core of the U.S. government business has definitely come back and it's contributing to some pretty significant growth in that business for us. I think on an underlying basis in government we were up 28% which just shows you that that’s really a reflection of both our GEO business coming back very strongly and also the contribution that we are seeing from MEO. So yes, I think it's more a reflection of correction of the previous fairly stringent budget tightening that went on and now we are more appropriate procurement approach to deliver the kinds of services that the government needs. 
Operator: We will now take our next question from Wilton Fry from Royal Bank of Canada. Please go ahead.
Wilton Fry: It's Wilton from RBC. I'll keep it brief but just one question. Question for Andrew. You have recognized the differed tax assets how much of that comes from GovSat? How much comes from O3b? And the recognition of the O3b differed tax is that coming from better future revenue forecast meaning the timing differences are now expected to reverse? Or is it just being triggered by change in fiscal jurisdiction?
Andrew Browne: We probably wouldn’t breakout specifically between both of them. As you say that that is the driver and indeed on the positive tax line we see and in terms of O3b in the -- that was investment has quite as we get for the investments that we were making like the transfer of the satellites into Luxembourg. So that’s where the main sort of driver is that we would see. But both definitely positive developments as we see in the local tax.
Wilton Fry: Understood. Thank you. 
Operator: We will now take our final question from Patrick Wellington from Morgan Stanley. Please go ahead.
Patrick Wellington: Yeah. Good morning everybody. Steve, I just would like to ask few questions about, C-Band, I think you said six months you weren’t too focused on the value of C-Band to SES, but more on your stakeholders. Do you think you’re a bit more focused on the value now? Secondly, do you have any insights on the timing process obviously the NPR runs the end of the October then it supply to be end of November. Do you have any sense of at what time the SEC might declare it sort of final position if you like. On the 200 megahertz that you told Nick, that was it, but then I think I remember back in April you said that you will use your all 500 megahertz and that none was available. So, is that really a final answer on 200 megahertz? And then finally one crossing over maybe to Andrew, if you do get substantial proceeds out of these C-band process, do you think you would have to pay tax on that windfall. And could you use existing tax losses or would you maybe because to the connecting to your existing satellites in the US would be reduced would you perhaps look to write those down and create some sort of tax benefit. So, just talk around C-band?
Steve Collar: Thank you, Patrick. The answer to one is no, I'm still focused actually behind our customers and what we have to do to protect that the services that we deliver today is absolutely critical but also be very consistent I think in saying that we only – we can only, there is a very strong desire on behalf of the SEC and behalf of the government to create world class IT Networks across the US, there is a very clear public interest benefit in that is also very clear economic asset to the US. And so we totally understand the need to do this, that there are other, there is no other alternative spectrum that’s obviously available. And so that’s why I continue to talk about as win-win I only think that can be delivered in one way and that’s by us all kind of working on this plan on the line of interest and no, I remain 100% focused on our customers, the reason that we kind of put out an announcement earlier this week was because we wanted to engage in a very fulsome way with our customers ahead of our submissions to the NPRM on what the details planning was for our customer network and that’s what taken the time, that’s why and what I say in Q2 is 100% true which is we are using all 500 megahertz, we don’t get to do this without an amazing amount of work and that means going and visiting every single earth station, deploying filters at every single earth station, creating new neighborhoods for C-band, some of those neighborhoods have been populated previously and are no longer in use and we are repopulating them, we’re going to have to find new satellites and launch them, there is a huge amount of work which needed in order to free up this 200 megahertz which is why it doesn't happen easily and it takes time to really be the size about what we’re able to do. In terms of timing, again I think the work we done over the course of the, over the last three or four months means that we have more precision in terms of what is going to take us to go deliver it, and we said 18 months to 36 months after the order and that still very consistent with what we're able to achieve we're looking now at okay can we -- is it everything all at the same time can we make some of it available sooner or there is a whole bunch of work going into that right now. In terms of the SEC process and the timing there, obviously that's something that's quite difficult to answer but again they have been executing pretty well on the schedule that they outline which has NPR in comment due on Monday, they then had sort of comments to those comments by November and so we will think let me think SEC will have all the information that they need by the end of the year and I would expect that all the sort of first half of next year that could be Q1 or could be Q2 so that's sort of what the SEC I think has previously advised on their expectations and we're obviously going to continue working ahead of that on the plan on making sure the customers still can feel comfortable about how we will migrate their services and how we will clear the spectrum. And I think that was everything I guess there was a question on proceeds, Andrew. 
Andrew Browne: Indeed Patrick, indeed as we work through the process and Steve has sort of outlined a course we're looking at different sort of tax option and structures but we think it's probably a little bit sort of premature right now to speculate as to whether that could actually look like but rest assured as we get greater certainty as we move through the process we will be happy to share with you and the outcome of working in that areas. 
Operator: We will now take our final question from Sarah Simon from Berenberg. Please go ahead. 
Sarah Simon: Just a few quick ones. First one was on Video Services. Do you expect the usual kind of flush in Q4 in terms of kind of equipment sales and so on, which we've seen in previous years? Second one on Fixed Data. The comparable was obviously much easier in Q3. I'm just wondering if you think that return to growth is sustainable or if this is kind of a bit of a one quarter it's happened and we might get back to slight negative growth again? And then the third one was on YahLive. Can you give us any numbers around that in terms of any kind of the revenues or the fill rate on the satellite just so we could put that into perspective?
Ferdinand Kayser: So regarding the equipment pace on HP plus, so we, we would also see this year a more normal trajectory and then equipment sales which is inline which what has been in the previous launches so not the peak similar to the ones we have in the last year. 
Steve Collar: On fixed data the short answer it's a good question, it's a short answer Sarah so we are very happy that this quarter we are showing growth in fixed data it's relatively modest at this point but given that -- and given where it has been for little while up so that's still a great result. We definitely had some new business coming during Q3 that has driven that number I would say we're going to be pretty focused on Q4 and to make sure that indeed it is sustainable but I would say is regardless of whether we are slightly ahead slightly behind in Q4 the trade is very, very positive and the direction of travel in our fixed data business is positive and that's good so I couldn’t hang on off to saying definitely where it's going to be Q4 we are really focused to it but the underlying trend to the business is good and so from a YahLive perspective, it's -- we've done a really good job I think in the business we have done a good job in creating a strong neighborhood. We now got 25 million households which is really good. Obviously we have been in the process of neighborhood building I would say over the last couple of years and when I look at how to really sort of monetize that without -- how to drive that business forward that’s kind of the focus that we have for YahLive with our colleagues in our YahLive adventure.
Sarah Simon: So strategic review, I think, to the analyst community usually means kind of it's for sale? Should we not interpret that your comment it's for sale but its more it might actually look for expansion as an acquisition or more CapEx?
Steve Collar: Yes, look, I think strategic options really doesn’t mean isn't code for sale in this case. It really is we generated this great value with our partners in YahLive. 25 million households is really a significant thing. And we are thinking hard about how we best monetize that now, how we best monetize what is a really nicely development [indiscernible] no more than that we just want it a flag but that process or that thinking is ongoing.
Operator: That concludes today's Q&A discussion. I would now like to hand the call back for any additional or closing remarks.